Operator: Good day, everyone, and welcome to the Graphic Packaging Holding Company fourth quarter and full year 2025 conference call. At this time, all participants are placed on a listen-only mode. We will open the floor for your questions and comments after the presentation. It is now my pleasure to hand the floor over to your host, Mark Connelly. Sir, the floor is yours.
Mark Connelly: Good morning. We have with us today Robbert Rietbroek, President and Chief Executive Officer; and Chuck Lischer, Senior Vice President and Interim Chief Financial Officer. During this call, we will reference our fourth quarter and full year 2025 earnings presentation available through this webcast and on our website at www.graphicpkg.com. Today's presentation will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in today's press release and in our SEC filings. Now let me turn the call over to Robbert.
Robbert Rietbroek: Thank you, Mark. Good morning, everyone, and thank you for joining us today. Before we review our results, I would like to take a few minutes to introduce myself and share my perspective on the opportunities I see for Graphic Packaging and to discuss my initial observations and key focus areas as we adjust our strategy to drive value for shareholders. I've spent more than 25 years leading global consumer brands and businesses, including leading a Fortune 500 division and serving as a public company CEO. I've lived and worked across North America, Europe, South America and Australia. Over that time, I've held leadership roles at Procter & Gamble, PepsiCo, Kimberly-Clark and Primo Brands, where I gained experience operating complex businesses with global manufacturing and supply chains and building consumer brands at scale. In several of these roles, I've been a customer of Graphic Packaging, and my teams work closely with the Graphic Packaging team to design winning packaging solutions. Throughout my career, packaging design and procurement has been a major part of my work. I worked directly with brand teams and retail customers in creating winning packaging, including design and technical specifications, sustainability and manufacturing requirements and performance needs. Notably, I worked on 3 innovative packaging solutions that went on to receive patent protection. Packaging is a critical part of the consumer experience, and I am aware of how packaging influences consumer purchasing decisions at the shelf and how consumers interact with packaging at home. I understand how important packaging is to our customers across the consumer packaged goods, quick service restaurants and retail industries. And I'm acutely aware of the challenges and opportunities our customers face in a world of GLP-1, MAHA and the evolution of private label. I've also seen firsthand the exceptional quality of our packaging solutions and the impact they have on customers, brands and consumers. I have a deep appreciation for the role we play, not just in protecting products and reducing costs, but in shaping and enhancing brand perception, enabling sustainability goals and delivering exceptional quality and reliability. That perspective is what attracted me to Graphic Packaging, and it will shape how I approach the business and manage towards the substantial opportunities we have ahead. Today, I will spend some time discussing how I am assessing the business, what excites me about the foundation we have and where I see opportunities to significantly improve performance and create value for shareholders. Chuck will then walk you through our fourth quarter and full year results and our outlook. Graphic Packaging is a world-class company with leading positions across attractive end markets, strong relationships with many of the world's most respected consumer brands and retailers and an industry-leading asset base that was built to provide a high level of integration and durable long-term competitive advantage. Our people, scale and capabilities are significant strengths. We have an exceptional team and an industry-leading production footprint, including a network of about 100 packaging facilities and the 2 highest quality and most efficient recycled paperboard manufacturing facilities in North America in Waco and Kalamazoo. Our superior innovation and technical capabilities are helping us build stronger, deeper customer relationships with leading CPGs, QSRs and retailers. While our manufacturing footprint and customer relationships are strong, we recognize that there is significant work to do. The actions we are taking now and will take place in the next several months are focused on unlocking Graphic Packaging's full potential to drive stronger performance and value for all our stakeholders, our investors, communities, employees, customers and suppliers. When I stepped into the CEO role at the beginning of the year, we initiated a comprehensive operational and business review including of the company's footprint, systems and organization, selected portfolio assets and financial performance. This review is underway now. I've already visited multiple facilities, including Waco, Macon and Perry, spent meaningful time with our leadership team and the Board, held a global town hall joined by several thousand of our employees, joined the leadership of select industry organizations, met with key customers and spoken with several of our shareholders. These interactions with our most important stakeholders are informing our early actions. Recognizing the depth of talent in this organization and the need for continuity, we've taken steps to retain and attract top talent. We have also implemented select initial organizational and reporting changes to enhance transparency and accountability. We established a transformation office led by our new Chief Transformation Officer, who will work hand-in-hand with me to drive operational improvements, enhance productivity and cost savings throughout the organization without disrupting customer service. We engaged external expertise to supplement our own resources as we evaluate opportunities to enhance profitability and drive growth and innovation. And we have initiated a comprehensive review of our organization structure and operations footprint and a selective portfolio review to ensure that our resources are focused where we can create the greatest value for our shareholders. Now that I have been in the role a little more than 30 days, I would like to share a few of my initial observations on the most meaningful opportunities within our control. One, the external environment remains challenged near term. Overcapacity in commodity bleached paperboard markets is putting pressure on finished packaging and demand trends for consumer staples remain uneven as a result of affordability and macroeconomic uncertainty. While we expect these trends to improve, we also acknowledge that consumer purchasing patterns and the dynamics between brands and private label are evolving. We are not simply waiting for markets to recover. We are focused on what we can control and where our resources have the best opportunities to create lasting value. Two, the combination of softer-than-expected market demand and the need to build inventory ahead of the Waco start-up led to paperboard and finished goods inventory levels higher than what we currently require. In addition, we need to rightsize our cost structure for the realities of the current macroeconomic environment. We're taking immediate steps to address these issues that we believe will enhance our profitability over time and drive free cash generation in 2026 and beyond. Three, we have the best and most efficient recycled paperboard manufacturing facilities in North America. However, our cost to complete these projects was higher than anticipated, driving the need to quickly capture the value these assets could generate. Four, we need to significantly reduce inventory and ensure that every spending decision brings an appropriate return. These steps should allow us to reduce our debt, which in turn, would allow us to prioritize returning capital to our investors. Five, through the investments we have made, Graphic Packaging has strong and durable competitive advantages. However, I believe that there are select opportunities within the portfolio to better optimize our position over time and drive value creation for shareholders. And finally, we are a global leader in packaging innovation, but we need to move more quickly from idea to commercialization. We are already working to more carefully align our innovation teams with our best market opportunities with both new and existing customers. This is a key source of differentiation for Graphic Packaging, and I believe that our innovation team is the best in the business. In sum, I see tremendous opportunity to create real value for shareholders by: one, enhancing profitability through cost actions and operational efficiencies; two, reducing inventory and capital spending to drive significant free cash flow generation; three, driving disciplined organic growth with innovation and exceptional customer service; four, prioritizing our free cash flow to reduce our leverage and return capital to shareholders; and five, conducting a comprehensive business review. In 2026, we expect to generate adjusted free cash flow between $700 million and $800 million. There are, of course, onetime items in our 2026 and also in our 2027 adjusted free cash flow projections, particularly with respect to inventory reduction and cash taxes. As we look beyond that time frame, we are targeting adjusted free cash flow of $700 million plus incremental EBITDA growth, recognizing that our current adjusted EBITDA is substantially lower than it was projected to be when the company first established its Vision 2030 financial targets, when volume growth was expected to be positive. Restoring top line growth and delivering stronger margins is central to our value creation plan and key to delivering on the free cash flow generation potential of this exceptional company. Achieving an investment-grade credit rating by 2030 remains a central element of our Vision 2030 commitment. Now let's take a few minutes to dive a little deeper into each of those objectives. Our EBITDA margins have come under pressure in recent years, driven by both the external pricing and demand environment and our own cost structure. I believe that there is meaningful opportunity to optimize our cost structure and better align with the current operating environment while protecting the operational capabilities and market positions that make Graphic Packaging an industry leader. This effort spans SG&A, manufacturing footprint and efficiency to support functions and core processes and includes extensive deployment of AI tools. As previously mentioned, I have established a transformation office to lead the effort to strengthen accountability and drive operational excellence and enhance productivity and cost savings across our entire company without disrupting customer service. My goal is to simplify the organization, improve execution and eliminate inefficiencies, ensuring we can return to profitable growth with a cost structure that supports both our near-term needs and our long-term objectives. Where it makes sense, we will also be adding additional talent and capabilities to drive stronger organic growth. I want to briefly address Waco and Kalamazoo. The Waco project is substantially complete and already producing top quality recycled paperboard to service our packaging system needs. Waco and Kalamazoo are world-class assets, the highest quality and most efficient recycled paperboard manufacturing facilities in North America. While the Waco facility is large, its net impact on market capacity is quite small after we closed 2 of our older higher-cost facilities and other producers closed capacity. Its impact on our cost of production, however, is substantial and creates durable long-term competitive advantage. While the market has been weak, a return to more normal consumer demand should put us in a strong position to restore volume growth and help ensure that we can leverage our production cost advantage to drive the best possible returns from our world-class Waco and Kalamazoo assets. Total 2025 capital spend was $935 million, higher than the company's target. Total project spend for the Waco greenfield facility, which is substantially complete, is currently estimated at $1.67 billion when we include capitalized interest of approximately $80 million. Spending through the end of 2025 totaled $1.58 billion. A review of the root causes of the higher than originally planned capital expenditures on the Waco project is underway and appropriate corrective actions will be taken to prevent similar events from occurring in the future. Capital spending is expected to drop by approximately $485 million in 2026, including the remaining spend to complete Waco and will remain at or below 5% of sales for the next several years even as we invest selectively in productivity and new capabilities. As we exit a period of heavy capital investment, our opportunity to drive free cash flow improves significantly. We expect to reduce capital spending to approximately $450 million in 2026 and are raising the bar for new capital spending project approvals. At the same time, we are working to reduce our inventory balance towards our 15% to 16% of sales goal from an elevated 20% level at year-end. Together with our ongoing cost actions, disciplined organic growth and the continued ramp-up at Waco, we expect to generate $700 million to $800 million of adjusted free cash flow in 2026 as we benefit from ongoing inventory reductions and the tax legislation passed last year and are targeting adjusted free cash flow of $700 million plus incremental EBITDA growth in the years ahead. This will give us the flexibility to significantly reduce leverage, return capital and reinvest in the business over time. Our growth strategy is customer-centric and markets-backed. We are focused on disciplined organic growth and putting our resources into markets with the best long-term opportunities while reducing our exposure to markets where we see less opportunity. We are partnering with key consumer packaged goods companies, quick service restaurants and retailers to improve baseline volume growth, bring innovation to market faster and in some cases, selectively move into new end markets. In recent calls with customers, a recurring theme is the need to drive volume growth to protect or regain market share. We are ready to help our customers meet these goals with our best-in-class packaging innovation, unmatched scale and exceptional customer service. We aim to be more than a supplier. Our goal is to be a trusted strategic partner to our customers. As part of this renewed commercial and customer focus, we recently promoted Jean-Francois Roche to Chief Commercial Officer. I see the value in his global role, and I'm working with Jean-Francois to ensure that we have the talent we need to drive sustainable growth. Innovation is one of Graphic Packaging's greatest competitive advantages, a strength that was built over decades in North America and enhanced by the acquisition of AR Packaging in Europe in 2021. Our global innovation team is helping us bring paperboard packaging into new markets, often through plastic or foam replacement. Innovation has been a part of why we have been able to retain volume in the markets we serve. Innovations like PaceSetter Rainier, produce pack and paper seal are driving adoption in growing categories such as produce, fresh food, protein, household products and wellness, delivering the more circular, more functional and more convenient packaging solutions that Graphic Packaging is known for. My priority here is to accelerate the speed of commercialization and ensure that our resources are focused on the most promising opportunities. With a broad portfolio that spans every grocery aisle, both with brands and private label as well as foodservice, prioritizing where we put our resources is essential to driving real value creation. We aim to be the first choice for our customers and believe that with our innovation, product quality and exceptional customer service, we have the right to win in a more normalized macro environment. Finally, the key pillars of our capital allocation strategy are: one, reducing our leverage; two, returning capital to shareholders; and three, identifying opportunities to optimize our footprint and portfolio over time. Today, our net leverage stands at 3.8x. We are taking concrete steps to reduce debt and move towards our target of an investment-grade rating by 2030. Deleveraging is our highest near-term capital allocation priority. We expect to pay down approximately $500 million of debt in 2026. But with the impact that our inventory reduction actions will have on adjusted EBITDA, our leverage ratio is likely to remain elevated. Returning capital to shareholders remains a key priority. We remain committed to returning capital through dividends and opportunistic share repurchase and expect to increase share repurchase activity as leverage declines. Lastly, we will look for opportunities to optimize our footprint and our portfolio, ensuring that capital and management attention are focused on the areas where we have durable competitive advantage and attractive growth opportunity. The common thread across all of this is discipline. By improving execution and cash generation, we will create a much stronger balance sheet that will provide the flexibility to allocate capital in a way that creates long-term value for shareholders. With that context, I'll turn it over to Chuck to walk through our fourth quarter and full year results and the outlook.
Charles Lischer: Thank you, Robbert. Turning to Slide 13. I will begin with a summary of our fourth quarter and full year financial results. In the fourth quarter, net sales were $2.1 billion, basically flat year-over-year, driven by volumes and pricing, which were both down slightly less than 1%, more than offset by a $40 million foreign exchange benefit. Adjusted EBITDA for the quarter was $311 million. As discussed in earlier quarters, the pressure on adjusted EBITDA reflects a combination of unusual competitive pricing and softer packaging volumes, which together reduced adjusted EBITDA by approximately $40 million versus the year ago quarter. Commodity and other operating cost inflation were in a similar range, along with the negative performance as a result of the production curtailment decisions we made during the quarter to manage inventory. Foreign exchange was an $8 million tailwind. For the full year, net sales were $8.6 billion, down approximately 2%. Augusta divestiture accounted for $150 million of the $190 million decrease. Price was an approximately 1% headwind and volumes were basically flat, while FX was a $57 million tailwind. For the full year, adjusted EBITDA was approximately $1.4 billion. Price and volume were a combined $174 million headwind and net performance of $59 million was not enough to offset commodity input and operating cost inflation of approximately $150 million. That performance was lower than normal as a result of production curtailment decisions we made primarily in the fourth quarter. The Augusta divestiture reduced adjusted EBITDA by $30 million and foreign exchange was a $13 million tailwind. Adjusted EPS for the full year was $1.80, and we ended the year with a net leverage of 3.8x, reflecting the headwinds to EBITDA, investments at Waco and our decision to repurchase more than 2% of shares outstanding during 2025. Slide 14 lays out our current expectations for 2026. We expect net sales in the range of $8.4 billion to $8.6 billion, which assumes volumes in the range of down 1% to up 1%, including the benefit of innovation sales growth, which is expected to be approximately 2% of sales. That implies market volumes down approximately 2% at the midpoint, reflecting our expectation of continued inflationary pressure and ongoing affordability challenges in the consumer staples markets. While we do not comment on future pricing expectations, our guidance assumes a similar level of competitive pressure and packaging pricing as we saw in the fourth quarter and includes the expected impact of recent third-party announcements. Taken together, these represent $150 million headwind across 2026 at the midpoint of our guidance range. Adjusted EBITDA is expected to be in the range of $1.050 billion to $1.250 billion on a reported basis and $1.2 billion to $1.4 billion on a pro forma basis, excluding the temporary impact of production curtailments related to our actions to remove approximately $260 million of paperboard and finished goods inventory in 2026. Our adjusted EBITDA guidance range also assumes a restoration of incentive compensation programs. The roughly $100 million figure represents approximately 5% of Graphic Packaging's total compensation cost and impacts over 2,000 employees. Given performance that was below expectations in both 2024 and 2025, incentive compensation awards were well below plan in 2024 and effectively 0 in 2025. A return to more normal incentive compensation, assuming that we reach our performance targets is important to employee retention and attracting top talent. Adjusted cash flow is expected to inflect sharply upward in 2026 to $700 million to $800 million. This improvement is driven primarily by 3 factors. First, a step down in capital spending to approximately $450 million. We will be reviewing all significant planned spending to ensure that it delivers appropriate returns. Second, the net benefit of our inventory reduction actions as we optimize inventory to our current production footprint and adapt to market demand realities. And third, improved profitability through our renewed focus on disciplined organic growth, operational excellence and SG&A and other cost reductions. I look forward to partnering with the new transformation office that Robbert established to improve our processes and better leverage technology and AI to drive fixed cost removal, operating cost reductions and productivity initiatives. Adjusted EPS is expected to be in the range of $0.75 to $1.15. While we do not generally provide quarterly guidance, we do want to highlight a few factors that are expected to affect the progression of sales and EBITDA in 2026. Normal sales seasonality is more pronounced in some markets than others, but relatively modest overall. In general, we tend to book something in the range of 23% of full year net sales in the first quarter and 26% in the third quarter with second quarter modestly higher than fourth quarter. Adjusted EBITDA tends to follow that same pattern before discrete items. Scheduled maintenance at our paperboard manufacturing facilities will be heavier in the first half by approximately $15 million, mostly in the second quarter and by about $10 million in the fourth quarter. There is no significant maintenance scheduled for the third quarter. The production curtailments to reduce inventory that Robbert mentioned are expected to be heaviest in the first half in the range of $45 million at the midpoint for the first quarter and roughly $40 million in the second quarter. Third quarter curtailment activity is expected to be the lowest since it is generally our busiest quarter. The actions that we are taking to reduce SG&A and other costs and to make operational improvements are expected to be moderately more back-end weighted. And finally, recent severe weather across the Central and Eastern United States has impacted operations at several of our facilities. While we don't have a final tally, our best estimate of the impact on first quarter adjusted EBITDA is in the range of $20 million to $30 million. Taken together, normal seasonality and these discrete items imply that first quarter adjusted EBITDA will be in the range of $200 million to $240 million. We expect first half adjusted EBITDA to be roughly 40% to 45% of full year adjusted EBITDA. And while we expect our effective tax rate to be in the range of 25% for the full year, our first quarter tax rate will likely be slightly higher than in subsequent quarters. Slide 15 walks through the key drivers of the year-over-year adjusted EBITDA change and a bridge to our 2026 adjusted cash flow target of $700 million to $800 million. Starting from $1.4 billion of adjusted EBITDA in 2025, there are several moving pieces worth highlighting. First, the incentive compensation that I mentioned earlier was not earned in 2025. Second, as noted earlier, price and volume outcomes are assumed to be negative overall, reflecting the consumer affordability challenge and unusual competitive pressure in packaging pricing, along with the impact of announced third-party price changes and bleached paperboard. Third, the items over which we have the most control our performance, including the benefits from Waco and SG&A reductions, partially offset by January weather and production impacts add between $100 million and $170 million. These gains will be partially offset by the onetime production curtailment impact as we reduce inventory levels. The actions we are taking to reduce inventory will generate cash flow in 2026 but do not reflect our normalized earnings power. Taken together, these factors are expected to result in 2026 adjusted EBITDA of between $1.050 billion and $1.250 billion or approximately $1.2 billion to $1.4 billion on a normalized basis. On the right side of the page, we provide a bridge from expected 2026 adjusted EBITDA to expected 2026 adjusted free cash flow. The largest contributor to the incremental free cash flow in 2026 is capital expenditures, which are expected to decline to approximately $450 million. Additional contributors to 2026 adjusted cash flow expectations include the net working capital release from inventory reduction and lower cash taxes as a result of the 2025 tax law changes. Incentive compensation is noncash in 2026 as it would be paid in 2027. Cash interest is expected to be in the range of $255 million to $275 million and other working capital and cash items are expected to be a source of cash of approximately $5 million at the midpoint. As Robbert mentioned, our highest near-term capital allocation priority is to reduce debt given our current leverage position. We expect to pay down approximately $500 million of debt in 2026, which would put us on the path to an investment-grade credit rating by 2030. We remain committed to returning capital through dividends and opportunistic share repurchase activity and expect to increase share repurchase activity as leverage declines. In summary, 2025 reflected a challenging operating environment, it also represents the final year of heavy investment. We're taking actions to optimize the company, drive operational efficiencies and reduce inventories. We are entering a period we expect will be defined by strong free cash flow generation, significant balance sheet improvement and disciplined growth. With that, I'll turn it back to Robbert.
Robbert Rietbroek: Thank you, Chuck. Graphic Packaging is a strong company with a world-class asset base, deep customer relationships and leading positions across attractive end markets. Our mid- to long-term shareholder value creation plan is clear. We will enhance profitability by optimizing our cost structure and driving greater operational efficiency. We will generate significant free cash flow through our actions to reduce inventory and reduce capital spending. We will focus on disciplined organic growth and deliver exceptional customer service. We will reduce debt on our path to investment grade and return capital to shareholders through our dividend and opportunistic stock repurchase. And after a thorough review, we will work to optimize our resources to ensure they are focused where we can create the greatest value for our shareholders. With that, operator, let's open it up for questions.
Operator: [Operator Instructions] Your first question is coming from Matt Roberts from Raymond James.
Matthew Roberts: Chuck, Robbert, welcome, and congratulations on the role. So when you joined, Robbert, the Board noted your strong CPG background and the timing, of course, coincided with Vision 2030. Those numbers are revised today. So ultimately, as you embark on that 90-day review or look to your longer-term targets alike, what makes your approach different than what has come before at Graphic Packaging? Would you say it's more operationally focused to reach free cash flow projections? Or are commercial efforts more of a priority to ensure you're able to reach flat volumes in 2026?
Robbert Rietbroek: Thanks, Matt. Thank you for welcoming me. Yes, I do want to just recap a bit of my background. I did spend about 30 years in consumer brands as a customer of Graphic, not only in North America, but also in Europe, South America and Australia. So I bring a bit of a global perspective on the business, and I worked at Procter & Gamble, Kimberly-Clark, PepsiCo and Primo. I have a background with complex businesses with global manufacturing and supply chains and I have a lot of experience in packaging, design, procurement and some prior experience, as you know, on tissue and towel manufacturing and brand the Millicent tissue towel mill in Australia when I was running Kimberly-Clark, Australia and New Zealand. With regards to the approach, I plan to focus on cost reduction, productivity, operational excellence, we want to make sure we deliver a really good experience to our customers. I've had a number of calls with key customers over the last couple of weeks, including yesterday, I spoke to 2 customers. These are customers across food service, beverages and food, grocery, and they really need us to help them restore growth, and therefore, we need to stay very close to that. I'll bring a more disciplined approach to CapEx going forward and a focus on free cash flow generation to create value for our shareholders. So with regards to customer centricity, I do believe in a market-backed approach and really partnering with our customers. We'll do a bit of a review of our manufacturing footprint to understand where we can consolidate and drive productivity. We do have to define where we have the right to win, where we have competitive advantages and focus the resources behind the core. We have to define what that core is. We have a lot of businesses that around the world in different geographies that we have to understand better. And we'll do a selective, very selective review of the portfolio. And of course, the mills are where the money is made. We will make sure that the mills and manufacturing facilities stay state-of-the-art and are fully utilized.
Matthew Roberts: A very helpful Robbert. Look forward to working with you and seeing the progress there. For my follow-up, if I can ask about the inventory reduction. I think it was from 15% of sales to -- from 20% to 15%. I think that number implies about 200,000 tons. How are you able to balance that much coming out while Waco continues to ramp? And given that inventory curtailment is a onetime benefit in '26 and then cash and the incentive comp also hits in '27, what other elements are needed to bridge to that $700 million figure again in 2027?
Robbert Rietbroek: Yes. Just let me clarify the inventory reduction program. It will primarily focus on recycled, bleached and cup stock. We're also reducing some finished goods inventory where demand fell short of expectations. And in the bleached paperboard system, production and demand are a good balance. It's just really the inventory that's too high. And I want to emphasize that our customer service is a priority and will not be disrupted by inventory reduction actions. Let me pass it to Chuck for some of the financial details.
Charles Lischer: Yes. Matt, this is Chuck. So on the bridge to the $700 million, as you pointed out, a lot going on in cash flow and EBITDA when we provided the detailed bridges that we did. But before I talk all the way about post 2027, I want to just reiterate the confidence in 2026. We outlined the levers there. We see those levers and have the confidence that we'll be able to pull those levers to hit the $700 million to $800 million range in 2026. 2027 will continue to benefit from the tax benefits and there'll be additional inventory reduction. And then post 2027, there are really some negatives and positives that happen. Some of the items that come -- that happen in 2026 are, of course, nonrecurring. But for example, as the tax benefits end, then we have interest rates that are reducing. And as Robbert pointed out earlier, we're going to be continuing to push on CapEx and other items in addition to normal EBITDA growth. So we can take you through the details more of that offline.
Operator: Your next question is coming from Ghansham Panjabi from Baird.
Ghansham Panjabi: Best wishes to the 2 of you in your respective roles. Robbert, maybe just to start off with you, just given your background at the CPG level and your unique lens, if you will, how do you think this pricing dynamic situation in paperboard in the U.S. will play out for the industry over the next couple of years? What can you do internally to sort of navigate through this period? Because presumably, customers will be pretty opportunistic as it relates to substitution, et cetera, just given the change in the pricing dynamics.
Robbert Rietbroek: Yes. Thanks, Ghansham. The 2 grades that matter most to us are recycled and unbleached. And both of those markets are in good balance. You know that we are very highly integrated as a company. And our smallest business is bleached paperboard, which is oversupplied with substantial new capacity that's coming to the market, and the demand outlook is trending down. So at the current prices, we don't believe that bleached paperboard producers are earning a good return on capital. As I said, we have very high integration in our bleached business. So our margins tend to be higher, but are still a little bit below cost of capital. I think the bleach and the bleach markets are less integrated. So the economics are a little tougher and the overcapacity is impacting the markets. And so that's where I am on that. Chuck, any thoughts from you?
Charles Lischer: Yes. I think you saw that in the AFA data that came out end of last week that I think you can see recycled and unbleached is generally aligned to demand and bleached, I think the weakness that you see there is consistent with what Robbert talked about. So I think it's all as Robbert laid out.
Ghansham Panjabi: Okay. And then Robbert, as you kind of step back a bit, obviously, a lot going on this year and next and so on. But if you look at the company's EBITDA margin profile, 2023, 19.9% as your slide deck lays out, obviously, a huge deterioration that you're projecting over that time period through 2026. Is there anything structurally having changed in the industry that you cannot get back to the sort of high teens EBITDA margin threshold? Or was 2023 just a unique situation?
Robbert Rietbroek: We think that over the long run, we will be restoring our EBITDA margin to the higher teens level as a result of restored demand and cost management productivity. So we're pretty confident that we will be managing that back towards that original Vision 2030 level, but it's too early to tell exactly where that's going to head.
Operator: Your next question is coming from Arun Viswanathan from RBC Capital Markets.
Arun Viswanathan: Great. And I guess I'll add my congratulations on the new roles as well. Yes. I guess just kind of going along a similar line of questioning, maybe we could get your perspective and insight on what you're hearing from your customers. Specifically, are they talking about SKU rationalization, changing packaging strategy? How are you -- what are you hearing on how they're dealing with MAHA and maybe other changes to consumer behavior. Obviously, we've seen some relatively lower volumes on the food side and foodservice. And are you hearing any kind of customer response to address that?
Robbert Rietbroek: Yes. Thanks, Arun. We do have very extensive conversations with our customers across food, beverage, grocery, various other industries and food service. With regards to consumer packaged goods, customers are really highly focused on cost right now and driving rationalization in the number of packaging executions to reduce downtime and changeovers in the manufacturing process. So there is a need for simplification to drive better basically COGS for their cost of goods and our packaging complexity is part of that. So the more we can simplify our assortment, whether that's a specific execution in the beverage industry or food industry, the better. They also continue to focus on share of shelf and share of SKU because they want to gain volume share at retail. And a lot of the CPG companies and some of them that I've spoken to are reviewing their pack price architecture at the right price points with smaller portions and lower consumer price points. The other trend we see is that there's a lot of private label embracing innovation quickly, and they continue to gain momentum even in some categories that were historically insulated from private label growth. And customers, they really want packaging solutions now that reduce material usage, that improve palletization, simplify the number of formats and complexity, but they also want very high-quality graphics that improve shelf appeal. So they are not willing to compromise on the winning at the shelf, winning at the first moment of truth. There is another big trend, which is it starts in Europe, but it's coming to the U.S., which is the single-use plastic reduction. That continues to be front and center of discussions with the large global players, the reduction of plastic in the U.S. specifically reduction of foam to improve the sustainability profile of our customers. With regards to food service, affordability has really created a challenge for the quick service restaurants, and they need to innovate and stay competitive, both in food and beverage and meal solutions. So they want to hit high price points, and they want to make sure that they are competitive across the board. Marketing and thematic promotions continue to be important. That's where we come in with our thematic packaging and our ability to react quickly to their orders. So we're starting to see some improvements with recent large-scale promotions. And I think the foodservice opportunity is substantial and plastic and foam placement will continue. So on Europe specifically, innovation is now a key driver there because of the regulatory changes against plastic. In North America, we're seeing that more and more consumers for paper cups over plastic and foam.
Arun Viswanathan: I guess just as a quick follow-up, back on to the SBS question. So I understand that it's a very small grade for you. But I guess our perception or my perception is that the oversupply is kind of also pressuring unbleached and maybe customers are getting the option to switch into SBS because there's not much premium there. So, how do you -- do you see that as well? And do you see that kind of oversupply in SBS continuing to weigh on other grades as well? Or is it not really impactful?
Robbert Rietbroek: It's a well-known fact in the industry, there's overcapacity of bleached. And there is -- it is the most fragmented of the paperboard grades, as you know, and periods like this tend to resolve themselves usually through capacity rationalization, downtime, consolidation. But remember, we primarily sell finished packaging and have a high degree of integration. And we see -- we do see some price pressure on recycled packaging from bleached producers that are looking for volume, but we haven't lost volume. And we have to be competitive with package price, and that can cause a little bit of margin pressure. And we also know that bleached packaging selling at the price of recycled long term is not sustainable. It's more expensive to produce, and it doesn't earn the cost of capital returns. Now we're focused on driving volume where we have the right to win, and we control what we control. So we are focused on cost spending, exceptional customer service. So that's where we are in that.
Operator: Your next question is coming from Lewis Merrick from BNP Paribas.
Lewis Merrick: Congratulations on the appointment, Robbert. Maybe just going to the portfolio review comments that you had in the deck and in your statement. Can you just give us a sense or expand on the factors what you would consider as elements which would determine a core or non-core asset in your business today?
Robbert Rietbroek: Very good question, Lewis. Thank you for the question. Thanks for welcoming. Look, I'm a big believer in the focus on the core as part of any company strategy. When you have a strong growing core, you win. And I think where we may have to provide a bit more perspective on all of the businesses we own around the globe that may or may not be core to the operation. We're looking at an initial review of the business, the portfolio of the operations and our global footprint. And we want to really focus on future growth and value creation and understand where we have the right to win. Let me give you an example of very obvious places which are part of our core. Our North America and Europe food and beverage business is obviously the biggest part of our company. No question that we have to play there. But there may be some smaller businesses that we have an opportunity to review. We want durable competitive advantage, and we want synergies. We want higher integration rates in our -- between our paperboard manufacturing and our conversion factories, converting factories where we make the finish packaging. With regards to looking at everything we do, we're also going to look at zero-based budgeting and particularly at CapEx. It's time to take a fresh look at all we do. We'll take a comprehensive look in the context of what is really a changing market. consumer dynamics are changing. Certain packages are starting to accelerate. Others are starting to decline. Consumption patterns are evolving as well. And so we need to bring those consumer insights back into our company so that we can align our assets to future growth opportunities. Now it's very early days. No decisions have been made, and we'll keep you updated as appropriate.
Lewis Merrick: Have you and the Board had any thoughts as to whether you may look to revisit your dividend policy [indiscernible].
Charles Lischer: So I think the question -- On dividend, sorry, I didn't catch the first time. So on dividend, as we said in the prepared remarks, our clearest most highest near-term priority is debt paydown. And so we will be focused on debt paydown in the short term. We have not committed to a dividend change this year yet. But over time, we would expect to have growing dividends as we talked about in the prepared remarks and increasing the return to shareholders. But clearly, our near-term priority is to pay down debt given our current leverage ratio.
Operator: Your next question is coming from Mark Weintraub from Seaport Research.
Mark Weintraub: Welcome, both. Question, since you did mention that overcapacity in bleached board has been putting downward pressure on finished packaging pricing across your grades. I guess one of the questions I have is that if the trade journals show, for instance, CRB prices were to go down or something like that, if to some extent, it's already been reflected that the pressures in the business because of overcapacity in SBS, do you get hit a second time? Or can you help us understand how the prices we might see in trade publications can affect what you end up realizing on a go-forward basis?
Charles Lischer: Yes. Mark, this is Chuck. I'll take that. So as you know, we've been seeking to convert many of our contracts over to a cost model. And so many of our -- have made progress on that. So many of our contracts are no longer tied to published pricing. We do still have some contracts that are tied to published pricing, and our guide does not reflect any unpublished or unannounced changes in pricing.
Mark Weintraub: Okay. And so just a follow-up. So if there are changes, is it modest because of the direct impact, modest because of the adjustments you've made in your contracts? Or any help you can give? And I recognize if you're not comfortable, understood, but figured I'd ask.
Charles Lischer: Yes. There's several factors. There's timing as to when the price impact would be recognized based on our contracts. And then there's also, of course, offset by the ones that are already on the cost model. And so it's -- there are a lot of moving parts and pieces there to give you the specifics around it.
Mark Weintraub: Okay. And just one other follow-up then on Waco. I know originally, you had outlined some relatively significant start-up costs, I think, $60 million or something like that. Could you just update us how -- what has happened and how you're reporting that? And it seems like you're just putting that in net productivity now. How should I be understanding that?
Charles Lischer: Yes. So the good news on that, given the start-up -- really strong start-up of Waco that our start-up costs came in below, and we do not expect any longer start-up costs to continue into 2026. So our start-up costs came in around $40 million in 2025, so lower than our original expectation given the strong start-up. Importantly, though, we do put those costs below the line. And so that doesn't roll up into performance. It does roll into the items that are below adjusted EBITDA. And so that information that was provided to you in the previous deck was just information only, but that is something that, of course, impacts cash and came in stronger. And as I said, 0 in 2026.
Mark Weintraub: Okay. And just one clarification. So the Waco start-up costs were excluded from the adjusted EBITDA number you gave us or included?
Charles Lischer: They were excluded from adjusted EBITDA.
Operator: Our next question is coming from Gabe Hajde from Wells Fargo.
Gabe Hajde: Welcome. I had a question about seasonal working capital changes and then obviously, the very concerted efforts to reduce inventory. It seems like a decent amount of that production will hit and the reduced production will hit in the first half. But normally, you consume cash and working capital in the first quarter. And if I look at kind of what you gave us the 40% to 45% of EBITDA earned in the first half, it looks like leverage can, in fact, tick above closer to the mid-4s or higher. Can you talk about that a little bit? And then I have a follow-up.
Charles Lischer: Yes. I think you've identified all the right trends. Historically, our cash flow is strongest in fourth quarter, and that's how it played out in 2025, and we would expect it to play out that way in 2026 as well. I will say the impact in 2026 should be significantly moderated versus where it was in 2025. If you remember, 2025, the heavy spend on Waco was through the first 3 quarters. And so you would have seen a much more negative impact or a heavier negative impact on free cash flow in 2025 than what we'll see in 2026. So it will more follow the EBITDA, but it is still -- our cash flow has historically and always been back-end weighted as we build for the season through the summer and then harvest that cash in the back.
Gabe Hajde: Okay. And then the 200,000 tons roughly of inventory reduction this year and obviously, you gave us a $1 equivalent. I guess, Chuck, for '27, can you give us a reference point? I think you talked about some moving parts to bridge to the $700 million of free cash flow. But will you still be sort of underproducing next year? And again, I appreciate it -- it depends on demand, but -- and unlocking some inventory? And if so, do you have an order of magnitude as it sits right now?
Charles Lischer: And we're not giving 2027 guidance now, so I won't give you the number. But you hit on the key factors. I mean we are committed to bringing inventory down to the target ranges that Robbert gave the 15% to 16% target. We would, of course, much prefer that to come out via demand, as you mentioned, than come out via downtime, but we are indeed committed to bringing it out or getting it out.
Operator: Thank you. We have reached our allotted time for Q&A. I'll now hand the conference back to Robbert Rietbroek for closing remarks. Please go ahead.
Robbert Rietbroek: Thank you, operator. I appreciate you joining us on our earnings call today. I'm excited to be here leading this outstanding team that is what is truly a pivotal time for our company. Graphic Packaging serves markets with attractive subsegments, solid secular trends with the best-in-class assets and a highly talented team. We're a global leader in sustainable consumer packaging. And with the actions we're taking, we plan to grow our market share and further strengthen our industry-leading position. While I've had the opportunity to engage with several of you already, I look forward to connecting with others and to providing ongoing updates on the business and our progress against these priorities. Thank you for your interest in Graphic Packaging.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.